Operator: Ladies and gentlemen, thank you for standing by and welcome to the Nutrien 2020 First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Rich Downey, Vice President of Investor Relations. Please go ahead sir.
Richard Downey: Thank you, operator. Good morning, everyone, and welcome to Nutrien's conference call to discuss our first quarter 2020 results and outlook. On the phone with us today is Mr. Chuck Magro, President and CEO of Nutrien; Mr. Pedro Farah, our CFO; and the heads of our three business units. As we conduct this conference call, various statements that we make about future expectations, plans and prospects contain forward-looking information. Certain material assumptions were applied in making these conclusions and forecasts. Therefore, actual results could differ materially from those contained in our forward-looking information. Additional information about these factors and assumptions are contained in our current quarterly report to our shareholders as well as our most recent annual report, MD&A and annual information form filed with Canadian and US Securities Commissions to which we direct you. I will now turn the call over to Mr. Chuck Magro.
Charles Magro: Thanks, Richard, and good morning, everyone, and welcome to Nutrien's first quarter 2020 earnings call. Our management team is calling from various locations around North America, ensuring we are following social distancing protocols, and we sure hope that you are listening in from somewhere safe as well. You don't need to look any further than your local community to be reminded how important the agricultural industry is to our daily lives. As grocery stores experienced lineups and empty shelves, crop input companies like Nutrien were designated an essential or critical service by governments around the world for clear reasons. Nutrien's top priority is ensuring the safety and health of our more than 25,000 employees globally and the communities in which we live and operate. This is fundamental to Nutrien's culture and is at the heart of every decision that we have made to manage through this global pandemic. Our COVID response team has been working with world-class advisors to develop policies, practices and business continuity plans that can help safeguard all of our stakeholders. This commitment to our stakeholders extends to the $20 million of community investment program, where we recently increased funding to food-related programs by $1 million. Additionally, we donated protective equipment to local health authorities and began producing hand sanitizer at select facilities to share with local communities. Nutrien continues to produce and deliver crop inputs in a safe and efficient manner, and COVID-19 has so far had limited direct impact on our operations or on demand for crop inputs. I would like to take a moment to thank all of our employees for their commitment and dedication to conducting their very important work in some challenging and unusual circumstances. Nutrien has a strong balance sheet, a stable and growing dividend, and we continue to expect to generate strong free cash flow. Our first quarter results were in line with our expectations, and we believe our first half earnings will remain similar to our expectations from the start of the year. The current situation has highlighted -- also highlight benefits from our recent investment in our industry-leading digital platform. We've had tremendous engagement as the tool provides a more convenient, highly efficient and safe way to conduct business. In the first quarter, we had over $200 million of orders come in through the digital platform, of which $36 million was from our newly launched seed app. About 40% of our retail products that were available online were ordered through the digital platform, nearly 4x higher than our 2019 results. We said that we have the world's best agricultural e-commerce platform and our numbers are clearly showing this. We intend to build on these strengths and have allocated about $60 million in 2020 to accelerate new functionality and tools for our customers and our agronomists. Also, out of an abundance of caution, we moved very quickly to increase our financial flexibility. First, we enhanced our liquidity and cash position by increasing short-term debt facilities in drawing upon available credit lines. This ensures our business can operate efficiently through these unprecedented times and was done as a precaution for working capital requirements, facilitating sales and managing our capital structure. At the end of the quarter, we had over $3 billion of cash on hand with access to another $2 billion of credit lines. To date, we've added an additional $1.5 billion of committed credit facilities. As such, we are well positioned from a cash and liquidity perspective to weather any potential storm. Our leverage remains within our targeted range of 2 to 3x of annual EBITDA through the cycle. Our single financial debt covenant of debt-to-capital is 41%, well below the covenant ratio limit of 65%. Second, we deferred more than $0.5 billion of capital projects that don't impact our safety or reliability of our operations. While we continue to adapt to the current situation, Nutrien's strategy remains on course, and the company is in solid financial position, with a strong balance sheet, exceptional quality assets, a stable and growing dividend and ample liquidity. Now let's turn to the results for the quarter and the market update. Nutrien delivered $508 million of adjusted EBITDA in what is a seasonally slow quarter. Retail sales were up 30% in the first quarter despite lower crop nutrient prices this year. 60% of the growth was from acquisitions and 40% from organic growth, which was supported by strong performance from our extensive proprietary products line and our online platform. The Australian retail business performed extremely well, and we are making great progress on integrating the Ruralco business, and we are well ahead of our planned synergy target by over AUD35 million. We also continue to advance our growth strategy in Brazil, announcing the acquisition of Tec Agro, a leading ag retailer and soybean seed producer. With this acquisition, we expect our existing investments in Brazil to contribute $0.5 billion of annual revenue. In potash, our EBITDA declined this quarter due to lower selling prices. Strong North American sales volumes largely offset weaker international volumes. The increase in North American sales reflected the increase in seeded acreage and solid application rates supported by soil fertility requirements after several seasons of missed applications. Offshore sales declined about 10% due to cautious spot purchasing in some international markets, and we continue to be focused on our controllables, reporting a stable potash production cost of $60 per tonne. Turning to nitrogen and phosphate. Nitrogen EBITDA was down due to lower nitrogen prices. We grew sales volumes by about 300,000 tonnes this quarter, supported by recent brownfield capacity expansions, and we also benefited from lower North American gas cost. Our phosphate EBITDA was down slightly from last year. While our industrial phosphate business performed well, it could not fully offset the impact from lower gas and MAP prices compared to last year. There are several factors that will support solid crop input demand this spring. In fact, we are seeing excellent crop input demand across North America and Australia this season. While crop prices have recently come under pressure from a slowdown in non-food demand, U.S. farmers are still expecting to plan an additional 15 million acres this year and planting is progressing well despite COVID-19. We expect U.S. corn acreage to come in between 94 million and 96 million acres this year, slightly lower than the USDA's March estimate of 97 million acres. The harvest in Brazil is nearly complete and most growers have locked in profits on their current soybean crop. Indications are they've also forward contracted a greater portion of next year's crop. Brazilian grower economics continue to be strong, and despite some dry conditions there, we expect strong soybean acreage growth again this year. There are also several recent supportive U.S. government programs for agriculture. The US coronavirus Food Assistance Program will provide $19 billion in immediate and direct support to farmers and ranchers who have been negatively impacted by COVID-19 and in direct support of food purchase and distribution programs. Congress is also considering funding for ethanol producers, and Nutrien is working with our biofuel partners to support this effort. Also, Phase 1 of the US-China agricultural trade deal is being implemented as highlighted by recent corn exports to China, and we believe the deal will be highly supportive for US growers. However, no company is immune to the recent volatility. For our business, we believe the uncertainty is predominantly in the second half of the year. We have lowered our 2020 annual adjusted EBITDA guidance to $3.5 billion to $3.9 billion, incorporating the risks as we see them today. The biggest change has been to our potash business, where we've lowered full year EBITDA guidance by about $300 million. Despite solid potash demand in the US, cautious buying in international markets has weighed on global demand and prices. The recent China potash contract is expected to add clarity to the market and should accelerate offshore shipments over the next couple of months. However, we've lowered our 2020 global potash shipment forecast by about 1 million tonnes to 65 million to 67 million tonnes to reflect China market dynamics, a relatively slow start to the year outside of the US and expected impact from lower biofuel demand. We are working with Canpotex to determine our next steps in terms of volumes and length of contract in China, but it does provide a floor, and we have already seen more demand and higher prices in markets like Brazil. In retail, we maintained our 2020 EBITDA guidance of $1.4 billion to $1.5 billion, given the fundamental resilience of the business and what we are seeing so far in Q2. This is despite an estimated $25 million to $50 million of FX headwind for our non-US-based retail operations as a result of a much stronger US dollar. We are monitoring the increased risk in the second half of the year from impacts to parts of the food supply chain, including fruit and vegetables, dairy and livestock, which has the potential to impact crop inputs over time. In nitrogen, some of our industrial customers are experiencing lower demand for their products as a result of COVID-19 impacts on the broader economy. As such, we've lowered our expectations for ammonia and nitrates demand in 2020. And due to the current ammonia prices, we made the decision to temporarily curtail production at one of our ammonia plants in Trinidad. While a lot has changed over the past few months, what remains constant is food security is vital. Many of us have come to expect that food would always be available at the grocery store. The current situation is a stark reminder that this is something we can no longer accept as a given. As always, Nutrien is there to support our customers to ensure they have inputs they need to supply world's food through this challenging time. Nutrien's integrated model is designed to perform well despite economic volatility. This is supported by our people, our strategy, the quality and mix of our assets and the importance of the demand for food and crop inputs. We have a strong balance sheet, a stable and growing dividend and significant free cash flow generation potential. We remain focused on long-term value creation which includes continuing to grow our business to feed the future and returning capital to our shareholders. Finally, we are committed to leading the way in sustainability for our industry. We issued our 2020 ESG report in April, highlighting our approach and future plans, and I'm pleased to announce Charlotte Hebebrand recently joined our leadership team as Executive Vice President of Stakeholder Relations and will be our Chief Sustainability Officer. She brings exceptional experience to the role and makes Nutrien one of only a small group of companies in the Fortune 500 to have a CSO at this level. Given our position as the world's largest provider of crop inputs and solutions, our access to technology, our deep relationship with growers, we are in a unique position to take a leadership role in innovative and sustainable agronomic practices and we have every intention of doing that. With that, operator, I'll turn it over for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jacob Bout of CIBC. Please go ahead, your line is open.
Jacob Bout: Good morning. So we're seeing some storm clouds brewing for US corn. Concerns on coops and optimal demand, meat demand and further ramp in trade wars here. How should we be thinking about the farmer response input demand in the second half of 2020 and into 2021?
Charles Magro: Good morning, Jacob. So I'll turn that question over to Mike Frank. He's closest to it, and then I'll give you a couple of high-level questions after that. So go ahead, Mike.
Michael Frank: Yeah. Good morning, Jacob. Obviously, new crop corn right now is -- futures are around $3.30 a bushel, which is down from about $4 just a couple of months ago. That does change the economics, obviously, for our grower customers in the U.S. So I think as they think about the economic threshold for products like fungicides and insecticides, there is a bit of a change in calculation. So look, we're seeing extremely strong demand out of the gate. Our first quarter was strong. As Chuck mentioned, we're running strong right now in our second quarter. We are seeing intentions to follow through on the planting of 94 million to 96 million acres of corn. Fertilizer sales have been really strong. There's been more pre-plant herbicides this year. So, so far, everything has gone well, I think, from a retail standpoint. But I do think once we get into the summer months, depending on what commodity prices do, what kind of programs come out from the government, that will have some impact on how farmers think about finishing off the crop.
Charles Magro: And Jacob, just a little bit more. So obviously, when corn approaches $3 and beans at $8, if you step back and you look at just basic farmer economics, growers that have rented land, they're underwater. If you have your own land, you're still making a margin on it, but it's not a great margin. So in other words, what we think will happen is, of course, these pricing levels are not sustainable. And over time, you'll start to see acreage shift, which I think will be natural and be healthy for the market. But what we also think will happen specifically this year, as Mike mentioned, is there is a lot of government support programs right now. So we don't think it's a liquidity issue from a farmer perspective. In fact, their behavior right now is one of getting the crop in and investing quite well in the crop. But over time, if these prices persist and we don't have the government support programs, we would expect that we would see acreage shift to tighten up the supply demand. And all of that, we believe, is healthy for the market.
Operator: And our next question comes from the line of P.J. Juvekar from Citi. Please go ahead, your line is open.
P.J. Juvekar: Yes. Hi, good morning. Chuck, you talked about liquidity of availability. What do you think, post planning, liquidity would be in the system? And are you incenting any credit withdrawals globally? And what are your thoughts on potentially...
Charles Magro: PJ, we're having a hard time hearing you. Can you just repeat your question, maybe get a little closer to the mic?
P.J. Juvekar: Hello?
Charles Magro: That's better P.J. Thanks.
P.J. Juvekar: Yes, I'm sorry. Sorry about that. Did you hear my question or I should I repeat?
Charles Magro: No. Can you please repeat it?
P.J. Juvekar: Yes. Sorry about that. So you mentioned liquidity in the system, but sort of what do you think is the liquidity or credit availability for growers post planting if this virus were to extend, the impact of the virus? And are you extending any credit to growers? And if yes, can you give us some more details about expected potential for bad debt, etc? Thank you.
Charles Magro: Yeah. Thanks, PJ. So look, we are extending credit to growers. I think we've got a great insight on that with our new Nutrien Finance business. And I know Pedro Farah and his credit team have been all over this. So Pedro, why don't you take that question?
Pedro Farah: Yeah. Thank you, Chuck, and thanks PJ, thanks for the question. We have not seen yet an abnormal behavior in, of course, pretty much like your question, we are monitoring it very closely because we're expecting some of the credit to be withdrawn from banks. But so far, both the request, the orders for credit have been normal and the payment has been normal. So the liquidity seems to be adequate for our customers. We have not seen an increase in overdues or delinquencies. As a matter of fact, even after a bad year like last year was, in which we had record bad weather, we were able to improve our collections, our delinquency and we actually reversed some of our reserves. So, so far, so good, but we will maintain very alert as we go forward if the situation changes. But so far, there seems to be adequate liquidity and we intend to continue to extend liquidity to our customers.
Operator: Thank you. And our next question comes from the line of Adam Samuelson of Goldman Sachs. Please go ahead, your line is open.
Adam Samuelson: Yeah, thank you. Good morning everyone. Was hoping to get just a little bit more color on the potash kind of outlook and the changes. And you did trim down your expectations for market growth, which makes sense. I'm just trying to think about the producer response. And just -- it would seem that the guidance implies both yourself and other producers are going to take more meaningful downtime again in the second half of the year as they did last year. There's at least 1 million tonnes of new capacity coming in the market between EuroChem and K+ S and some of the stuff that SQM has come in on. And I'm just trying to make sure I'm reading that right and just how you're thinking about the production outlook this year?
Charles Magro: Yeah. Good morning, Adam. So we did, as you rightly point out, lowered our view that the demand for potash this year will be down about 1 million tonnes. And really, the driver for that is biofuel demand, especially from palm oil, we believe, is going to reduce demand in Southeast Asia. Of course, the China situation and the China contract now has provided some clarity to the market, and we're starting to see increase in demand and slightly higher prices as well in other markets. So that's the good news. But we're just -- at the pricing levels that we saw China settle, we're not sure we're going to want to put a lot of demand into China in the second half of the year. So we pulled back at least from our perspective, sales demand from that market. And then from the previous question, if you start thinking about $3 corn, we're having a very good application season right now, but that will be determined what happens in the United States in the second half of the year for the fall application season. So when we roll it all up, our view is that the market is going to come off about 1 million tonnes. And then if you look at our guidance from a production perspective and sales perspective, we've reduced our sales book as well simply because the global demand is going to slow down. But I think we're still expecting to sell more than we did last year. And so we will balance the supply that we're going to have with the market demand like we normally do. And right now, what I'd say is that we're seeing a decent movement. And so far from the first quarter, we saw very good movement of potash, and that's continued in the second quarter. But there is more risk in the second half and we've tried to reflect that in our annual guidance.
Operator: And our next question comes from the line of Ben Isaacson of Scotiabank. Please go ahead, your line is open.
Ben Isaacson: Thank you very much. You guys have talked about weak industrial demand for nitrogen. And on the supply side, we're seeing coal prices move lower. Can you talk about how the supply and demand is shaping up for the rest of the year and what's marginal cost right now? Thank you.
Charles Magro: Yes. So Raef Sully can answer those questions for you, Ben.
Raef Sully: Ben, so look, I think it's too early to call exactly what's going to happen on the industrial side. I think on the agricultural side, we're seeing a very strong spring. As you saw, we were up 300,000 tonnes year-over-year in the first quarter. That's continuing in the second quarter. There may be -- there are some industrial products out there that are tied to GDP. If there's a recession coming out of COVID-19, we may see a falloff in those. But I think it's too early to give you an indication of what we expect to happen. Obviously, we will move product around. If there are some softness in industrials in the third and fourth quarter, it may impact ag prices in the third and fourth quarter. And we'll do our best to try and move the industrial product we have in ammonia and other products into the agriculture market where we can.
Charles Magro: No. Look, I think you captured it. Ben, look, with the general slowdown in the broader economy, it just stands to reason that there's going to be less industrial production period. And that's going to have an impact on industrial demand for nitrogen and nitrates. And so we've tried to factor that in, and we're looking at our sales book for the second half of the year. If the economy starts to come back in the second half of the year, then we probably won't have the impact that we're expecting. But based on what we see today in a slower recovery assumption in the second half of the year from a general broader economy, we think that there's going to be just less demand for our industrial nitrogen, which could have a spillover effect into the ag markets.
Operator: Thank you. And our next question comes from the line of Steve Byrne of Bank of America. Please go ahead, your line is open.
Luke Washer: This is Luke Washer on for Steve. You talked a little bit about the strength of your online platform earlier. I wanted to ask, how do you think COVID-19 may have accelerated interest in this platform? And do you think this is relatively sticky in that your existing customers could start using that more often in subsequent years? And could that present maybe margin or market share opportunity for you? Thank you.
Charles Magro: Good morning Luke. Yeah. So Mike Frank can take that question.
Michael Frank: Yeah. Good morning, Luke. So when you think about COVID-19, firstly, I would say, having a trusted relationship with our customers is more important than ever. Even though we've seen significant uptick in the use of our digital tools, it's also clear that having a deep relationship with our customers, where we know their fields, we know their priorities, makes a huge difference. Now obviously, we do think that the digital platform, which is beyond simply e-commerce, it's also about planning the field, providing sustainability metrics, providing field-specific insights on weather and moisture conditions. This all comes together in a tool that our customers are getting a lot of utility from as well as our salespeople. And in fact, if anything, I think it's driving a deeper relationship between our field sales team and our customers. And so we really see these things fitting together. And the outcome will be more efficiency and ultimately, it will drive organic growth. In fact, we think we're seeing that already because it's providing more convenience for our customers. Obviously allows them to deal with us in a very safe manner today from a COVID-19 standpoint and convenience and scalability for our sales organization. So the investments that we're making have definitely paid off. And as you can see from the slide presentation, there's a number of enhancements that we're also bringing through the rest of the year that are also going to continue to drive the stickiness of the platform.
Operator: And our next question comes from the line of Chris Parkinson of Credit Suisse. Please go ahead, your line is open.
Chris Parkinson: Thank you very much. You just hit on this a little, but just further diving into it. Can you just talk about just your outlook for the retail M&A strategy for the remainder of the year and into '21 in both the US and Brazil? Just any updates on your thought process there. And then just also as the corollary of that. How do you feel your US competitive positioning is in terms of the digital ag supplier relationships versus some of your larger peers? Thank you very much.
Charles Magro: Good morning Chris. Mike Frank why don't you take those?
Michael Frank: Sure. Let me start with the M&A side. So firstly, what we're seeing right now is that the acquisitions we made last year are all performing very well. Ruralco, as we talked about, is off to a great start. The integration is well under way. And the synergy capture plan is also clearly available for us. And so Ruralco in Australia, which really does transform our business in Australia, is performing very well. Actagro, which was a large acquisition last year in the U.S. is also performing extremely well. We've announced in Brazil a couple of acquisitions this year. Agrosema is an acquisition that closed in the first quarter. It's also off to a great start. Our Agrichem business, which we closed last year is performing well. And we recently announced another acquisition, a larger acquisition, of a company called Tec Agro, and we expect that to close here very soon as well, which is not only a retail business, but it's also -- has a very substantial proprietary seed business. Now going forward, look, typically on tuck-ins, especially in the U.S., there's more activity in the second half of the year. So depending on how the COVID-19 situation plays out, I think that could have an impact on our ability to do due diligence and close deals. And so we're watching that. We're having a lot of conversations right now with prospective targets. And so we do think there's a pipeline available. And there's also more targets in Brazil as well. But when you think about Brazil, we've talked in the past about having eventually about $1 billion business in Brazil. With the acquisitions that we've made, including Tec Agro when it closes, we'll have a business that will have a run rate of about $0.5 billion. And so we're already well on our way in Brazil. So that's on the M&A front. In terms of digital ag, I would say we're well out in front of the industry from a retail standpoint. We're really the -- as Chuck mentioned in the opening comments, we're really the only national company that has a platform that combines e-commerce, digital insights at the field level and tools that our sales organization can really leverage to create scalability and convenience for our customers. And so I would say we're well out ahead of the rest of the industry from a digital ag standpoint.
Operator: And our next question comes from the line of Steve Hansen from Raymond James. Please go ahead. Your line is open.
Steve Hansen: Yeah, good morning guys. Chuck, your comments earlier on the China potash settlement we've seen suggests the price point might be a little lackluster relative to your expectations. I think you suggested that you might be steering some volumes away from there. I'm just trying to get a sense for how you guys feel about the pricing environment. I thought there was still a bit of demand there. But maybe just give us some context around the spot market behavior you've been seeing after the settlement and why you think price opportunities might be better elsewhere relative to the broader picture in China? Thanks.
Charles Magro: Yeah. So thanks, Steve. Look, I think that the price in China is too low. I'm not going to mince a lot of words around that. China tapped their strategic reserves during the negotiation. A country can do that when you're negotiating with a country and that provides them with leverage. Also the fact that, and this is no surprise to anyone on the call, that there's excess capacity of potash in the market right now. So where we are right now is we're trying to get our head around, and we're working with Canpotex to determine our next steps. But given how unattractive the price is for Nutrien, it's going to be difficult for us to provide a long-term commitment at these price levels. Now what it has done, though, is it's pretty clear now that there's been clarity in the market. We're seeing a pickup now in demand in other markets, say, like Brazil, and prices have also started to rise in those core markets. So I think there's two things about the China contract: one is, we don't like the price, and we'll have to determine what we do when it comes to the length of the contract and the volume. But the other markets are starting to pick up because there's now some clarity in the global market. So there's some good news to that as well. And it's best that I probably leave it there since we don't have an arrangement with China yet. But those would be my thoughts
Steve Hansen: Appreciate it. Thanks.
Operator: Our next question comes from the line of Michael Piken of Cleveland Research. Please go ahead. Your line is open.
Michael Piken: Yeah. Just wanted to touch base a little bit on how the retail business is going to be approaching sell season. Presumably with a good spring season, you'll probably end with fairly low inventories, I would imagine, on most fertilizer products. But I'm just wondering, given the uncertainties in the back half of the year, how retail is thinking about participating until the summer?
Charles Magro: Yes, Mike Frank, why don’t you take that question please?
Michael Frank: Yeah. So Michael, we're very focused on working capital. And we're also watching, of course, if there's going to be appreciation in the fertilizer markets. And so right now, based on our commitments for the spring and summer months, we expect that we'll be going into the fall season right now with empty sheds. And so we'll position ourselves with the ability then to restock for the fall season ahead. So look, there's been very strong demand. In Q1 alone, our tonnes were up almost 30% and all of those tonnes went on the ground. And we continued to see strong demand here in Q2. And so we're going to have our powder dry going into the fall season to refill our fertilizer sheds. And I would say it's the same from a crop protection standpoint. We're committed to the spring and mostly through the summer right now. But we anticipate that there's going to be significant de-inventorying in our total working capital from both a crop protection and a fertilizer standpoint.
Operator: Our next question comes from the line of Joel Jackson of BMO Capital Markets. Please go ahead. Your line is open.
Joel Jackson: Chuck, your Canpotex partner put out a different incremental potash demand forecast this week, only expecting about 1 million tonnes of fewer growth this year than what you are. Obviously, a lot of your sales are tied with Canpotex together. So if that scenario plays out, would you expect Nutrien -- if that more bear case scenario plays out, would you expect to have little or no potash volume growth yourself this year, considering the tonnes, the inventory build from Eurokali and the new tonnes in EuroChem and some of the other players that have more volume this year? Thanks.
Charles Magro: Yeah. So we certainly don't communicate or discuss our views. You can clearly see that they're different. And certainly, from a Nutrien perspective, we would stand by our numbers in terms of 65 million to 67 million tonnes. And as such, when we look at that and we look at our customer commitments and the demand that we're expecting, we're pretty transparent with our planned sales, Joel. So I'll leave it there to say that we are expecting slightly weaker market than we had thought in February for the reasons I've already outlined, but still growth year-over-year. And as such, when we see global growth year-over-year, we expect our sales to be up year-over-year as well.
Operator: And our next question comes from the line of John Roberts of UBS. Please go ahead. Your line is open.
John Roberts: Yeah. Thank you. Yes. Glad you all sound well. Your partner in Canpotex also made the case that 2016 makes for a lot of parallels with the current potash market. Do you have a view on that?
Charles Magro: Certainly, I don't know. I think maybe what I'll do is I'll pitch it over to Ken, who is sort of running Canpotex at that point and he'll have probably the best perspective. So Ken, why don't you take that question?
Ken Seitz: Yeah. I don't know that my answer is so much better than yours, Chuck. And that is, OK, we sit here at the beginning of first quarter behind us in 2020. And yes, we're seeing some stability in the market, as Chuck said, with the China contract. We're seeing prices up in Brazil. So that's kind of analogous to what we saw in 2016. But at the same time, I think as the year unfolds, there's some real unknowns that have been talked about on this call and biofuel as being one. So I think you'll have to ask Mosaic further about their comparisons to 2016. I think it's suffice to say that we'll just stick with our view here of our current guidance that Chuck's been talking about, 12.1 million to 12.5 million tonnes. On demand, it's in that sort of 65 million to 67 million-tonne range and avoid full comparisons to what happened in 2016.
Charles Magro: Yes, John, maybe I'll have Jason Newton, who is on our line with our Chief Economist. He studied this stuff for a living. So, Jason, you have any further thoughts.
Jason Newton: Yeah. John, the one thing I'd add, I think there are a number of parallels in terms of what we see in demand in spot markets. So if you look at Brazil, for example, had been drawing down inventories, and we think there's some pent-up demand there, which is similar to what the case was in 2016. And I think also similar to 2016, we got down to similar pricing levels, and we know you're approaching marginal cost, and there's quite a few producers that are cash negative at or below where current prices are. So that's a lot the same as was the case in 2016. And the market's quite a bit bigger today than it was in 2016 as well. I guess, from a differences standpoint, I mean, the big one is the uncertainty regarding palm oil and biofuels as mentioned and then overall economic uncertainty as we look forward second half of the year.
Operator: And our next question comes from the line of Vincent Andrews of Morgan Stanley. Please go ahead, your line is open.
Jeremy Rosenberg: Hi, this is Jeremy Rosenberg on for Vincent. Thanks for taking my questions. I'm just wondering, looking at your guidance, if you could just help us frame up, what gets you to the high end of your sales tonne ranges for both potash and nitrogen? Thank you.
Charles Magro: Yeah. So at a high level, if you look at the guidance range, when we set our guidance back in February, we weren't thinking of the impact, of course, of COVID in North America, and at that point, oil prices were $50. So literally, it's a different world today. And then, of course, back in February, corn was over $3.50. So the way we think about the guidance range right now is that we have factored in the risks as we see them. And we don't expect to see a significant increase in terms of price recovery, whether it's nitrogen or potash. But to get to the higher end of the guidance range, we would be at the higher end of our volume. So think about a V-shape type recovery, that's what we would be considering when we think about the high end of the range is that industrial demand would start to see some return, biofuel becomes economic again, and you start to see demand for biofuel pulling through corn and ethanol, and then, of course, potash in Southeast Asia. So that's sort of some of the color that we would articulate for the top end of the guidance ranges, is that you start to see the economy open up. And then along with that will become the levers and the connection that we have to the ag complex
Operator: Our next question comes from the line of Jonas Oxgaard of Bernstein. Please go ahead, your line is open.
Jackson Kulas: Hi, this is Jackson Kulas on for Jonas. Thanks for taking my questions guys. So I have two quick questions, if you don't mind. The first is that several crop inputs companies have indicated that strong early demand has caused farmers to pull forward purchases from the second quarter into the first. Have you seen this in your retail business? And if so, can you quantify the impact? And the second question is just, can you talk about what projects you delayed to achieve your $500 million in planned capex reduction? And what you would need to see to resume activity there? Thanks.
Charles Magro: Okay, we’ll have Mike Frank answer the pull forward question and then we’ll have Pedro Farah into the project question. So go ahead, Mike.
Michael Frank: Sure. Jackson, so you're referring to obviously the suppliers to retail talking about pushing a little bit of inventory into the channel in Q1, potentially because of both COVID and anticipation of a larger market. And I would say what we did with our suppliers is we pulled forward a product set that we anticipated we were going to need based on the larger acreage and in Australia, the really good weather and the rains that they got that really set up a much better year in Australia. If you think about the retail side of the equation, our side, it's really hard to pull forward fertilizer and chem sales because those go on the ground. Most of our TAM is bulk, a lot of it's custom applied. And the same with fertilizers. Really, there's very little ability for farmers to store fertilizer. When you look at our seed sales, our seed sales were up about 11% in the first quarter. And again, that's consistent with our expectation of a larger market. So we didn't see a material pull forward. We did see good weather. We saw good weather in Australia. We saw good weather in much of the U.S. That allowed us to get more fertilizer down and more crop protection on the ground. And so that really is what drove our 30% increase in revenue quarter-over-quarter.
Charles Magro: Pedro will take the capital project question.
Pedro Farah: Certainly, thanks. Jackson, what we are delaying is two types of investment. Number one is, the investments that have a very long payback, typically associated with productivity gains, and we are favoring a shorter payback type projects at this point in time. And the other one is there is a natural delay because of timing on some other projects that we have because of supply chain issues with critical equipment or the need for social distancing. As we execute on those projects and to preserve social distancing, we cannot implement the projects at a time that we had originally planned. So those were kind of sliding into next year. So that is kind of the bulk of our $500 million delay.
Operator: And our next question comes from the line of Jeff Zekauskas of JPMorgan. Please go ahead. Your line is open.
Unidentified Analyst: Good morning. It's Silke [ph] for Jeff. How are you?
Charles Magro: Good.
Unidentified Analyst: I have a question on the North American potash market, and it has two parts. Like the first one is, could lower corn acres in 2021 have any impact as to how much potash North American farmers might want to buy at the end of the year in the fourth quarter and how do you think about that? And the second question is on North American potash prices, and that is your price in the first quarter was like $196 a tonne FOB. In the fourth quarter, it was like $226. And I was wondering if you could just talk about the trajectory for potash prices domestically in April and May. Thank you.
Charles Magro: Okay. It's best to have Jason Newton, I think our economist to answer those questions.
Jason Newton: Yeah, sure. So on the lower corn acreage, I think, obviously, corn acreage is expected to be lower, which we would expect it to be in 2021. It will have a negative impact on overall potash demand and new turn demand in general, but it is important to note that there is offsets, and we'd expect that a lot of the lost corn acreage would be replaced by soybeans. And so if you take 1 million tonne shift from one product to the other, it worked out to about -- I mean, a loss of about 40,000 tonnes of product for corn, but you gain 25,000 or 30,000 of that back in terms of the soybean demand. So it's not a -- there is an offset with the soybean supply. For fall demand, what really drives farm-level fall demand is weather. And so that's probably the biggest driver of the second half. But we would expect the retail end of the supply chain to be cautious with inventories as we go into the second half of the year, which is what impacted our outlook in that time period. In terms of the potash prices, the U.S. market really followed what happened in the rest of the world, although prices have held up better and in fact, price in the U.S. Gulf were at a premium to what was the case in Brazil but prior to the recent Brazilian prices starting to increase. So we have seen over time that the U.S. market has lagged a little bit behind where the rest of the world is. And as we look into the second half of the year, we'd expect some normal seasonality of the fill season through the summer and then see how demand develops in the fall.
Charles Magro: Yes, maybe just a couple of other comments at the highest level in terms of our view of potash pricing going forward, whether it's 2021 or 2022. So look our view is constructive. We believe that what we're seeing right now. Now, part of it is the economy and the COVID-19-related. Part of it is we have new capacity coming into the market. But generally speaking, the demand has been growing quite nicely on average. And we would expect that if potash demand continues to grow globally at that 2.5% per year level, once we see the COVID situation and the oil prices stabilize a little bit, you're going to see the supply demand for potash tighten quite readily. And as the market supply demand starts to tighten, I think you're going to see prices follow. So we're quite constructive on potash still. It's a market though that has had a tough year in terms of 2020. And I think what we're seeing right now in terms of the China potash contract settlement at the levels that it did. We are starting to see some constructive behavior in the market when it comes to increased demand and price momentum. And I think longer term, we expect that, that will continue because we do see that demand for potash over time will continue to grow.
Operator: And there are no further questions in queue at this time., I will turn the call back over to Chuck Magro, CEO.
Charles Magro: Okay. Thank you all. I think that was all the questions in the queue. Look, IR is available for any follow-ups that you have. I really appreciate the interest in the company, and I hope that you're all well and safe. Take care and we'll talk soon.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.